Operator: Good morning, and welcome to Hudbay Minerals Inc.'s 2024 fourth quarter results conference call. Hudbay Minerals Inc.'s financial results were issued this morning and are available on our website at www.hudbay.com. A corresponding PowerPoint presentation is available in the Investor Events section of our website. We encourage you to refer to it during this call. Our presenter today is Peter Kukielski, Hudbay Minerals Inc.'s President and Chief Officer. Accompanying Peter for the Q&A portion of the call will be Eugene Lei, our Chief Financial Officer, and Andre Lauzon, our Chief Operating Officer. Please note that comments made on today's call may contain forward-looking information, and this information by its nature is subject to risks and uncertainties, and as such, actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR Plus and EDGAR. These documents are also available on our website. As a reminder, all amounts discussed on today's call are in US dollars unless otherwise noted. And now, I will pass the call over to Peter Kukielski.
Peter Kukielski: Thank you, Operator. Good morning, everyone, and thank you for joining us for today's call. I will start by saying we had another incredible year in 2024. It was a year of execution as we delivered record financial performance and fully transformed our balance sheet. We proudly achieved consolidated production guidance for all metals, with gold production significantly exceeding the top end of the guidance range, demonstrating industry-leading cost performance. These strong operating results enabled us to achieve record revenues of more than $2 billion and record free cash flow generation of more than $350 million in 2024. This was driven by our enhanced and diversified operating platform where we continued to demonstrate operational excellence and disciplined capital allocation. Our Peru operations delivered steady copper production, and we took advantage of a recent government initiative to allow mining companies to operate above permitted throughput levels. Pampacancha also continued to contribute high-grade copper and gold ore. In addition, the team is advancing studies on future opportunities to further increase mill throughput in Peru. Our Manitoba operations achieved record annual gold production, increasing by 14% from 2023, and exceeding the top end of our production guidance range. I am very proud of the team's continuous improvement efforts, which resulted in impressive cost performance that significantly exceeded our expectations. This success was in part due to the contribution from the New Britannia mill, which was refurbished in 2021, and we continue to deliver high returns from this brownfield investment project. Our British Columbia operations have enhanced our operating platform, with 2024 being the first full year of having a third operating asset. We continued our stabilization and optimization efforts in 2024, including increasing mining activities, and our focus for 2025 will be on mill optimization initiatives to enhance mill throughputs. As a result of the free cash flow generation from the enhanced business, plus the proceeds from the successful equity offering we completed in May, we reduced debt by more than $500 million in 2024. We have transformed our balance sheet to now be in the lowest leverage position of our peers, a significant change from one of the highest leverage positions more than a year ago. We are in the best financial position we have ever been in to prudently deliver our attractive pipeline of growth opportunities. And this is timely as our Copper World project in Arizona has received the final key permits, and we are now advancing the project through feasibility studies and a minority joint venture partner process. I will go into more detail on our recent achievements throughout today's presentation, along with our outlook for 2025 and our plans for advancing many exciting growth initiatives to continue to unlock value for all stakeholders. Turning to Slide four, the fourth quarter of 2024 had strong production and operating cost performance across the business. Consolidated copper production was 43,000 tons in the quarter, an increase of 38% compared to the third quarter and in line with quarterly production cadence expectations. Consolidated gold production was 94,000 ounces, which significantly exceeded our expectations for the quarter and increased 6% from the strong levels achieved in the prior quarter. This was primarily due to higher grades in Peru and continued strong gold production in Manitoba. As a result, we achieved our consolidated full-year production guidance for all metals and significantly exceeded the top end of our production guidance range for gold. We had another quarter of industry-leading cost performance with consolidated cash costs of $0.45 per pound of copper and sustaining cash costs of $1.37 per pound. While a majority of our revenues continued to be from copper, our unique copper and gold diversification adds further cash flow resiliency and strong leverage to higher metal prices. This is seen through the increasing portion of our revenues from gold, representing 35% of total revenues in 2024, compared to 29% in 2023. Fourth quarter adjusted EBITDA was $257 million, a 25% increase compared to the prior quarter, resulting in full-year 2024 adjusted EBITDA of $823 million, a substantial increase from $648 million a year ago. Adjusted net earnings were $0.18 per share in the fourth quarter, a 40% increase compared to the third quarter. Our financial results would have been even higher if excess copper concentrate in Peru was sold in the quarter. As a result of the strong ramp-up of production during the quarter, there remained approximately 30,000 tons of copper concentrate inventory at the end of December, compared to the typical levels of 15,000 tons. Excess copper concentrate is expected to be sold in the first quarter of 2025. Slide five highlights our efforts to transform our balance sheet in 2024, which has positioned us as the lowest levered company in our peer group, as I mentioned. We ended the year with $582 million in cash and cash equivalents, an increase of $332 million over the course of 2024 due to a successful equity offering and record free cash flows bolstered by strong copper and gold prices. Hudbay Minerals Inc. has successfully delivered six consecutive quarters of meaningful free cash flow generation as a result of recent brownfield investments, continuous operational improvement efforts, and steady cost control across the business. We used part of the equity offering use of proceeds and free cash flow generation to make $245 million of debt repayments, including repurchasing and retiring a total of $83 million of senior unsecured notes, as well as completing the repayment of $100 million on the revolving credit facilities. We also fully repaid the gold prepay facility with $62 million in gold deliveries during 2024. As a result, we have reduced our net debt by over $500 million in 2024, and as of December 31st, we have $526 million of net debt. The net debt reduction, together with higher levels of adjusted EBITDA over the last twelve months, has significantly improved our net debt to adjusted EBITDA ratio to 0.6 times in comparison to a ratio of 1.6 times at the end of 2023, and over two times at the end of 2022. In addition to these efforts, in November, we took further action to improve balance sheet resilience and financial flexibility by proactively extending our senior secured revolving credit facilities from October 2025 to November 2028. This provides increased financial flexibility to accretively maintain our 4.5% coupon bonds until maturity in 2026 and advance Copper World towards a sanction decision in accordance with the three key plan. The newly extended $450 million revolving credit facility includes an improved pricing grid reflecting the enhanced financial position of Hudbay Minerals Inc. and features an opportunity to increase the facility by an additional $150 million at our discretion, providing additional financial flexibility. Looking at our Peru operations on Slide six, in the fourth quarter, we produced 34,000 tons of copper, 38,000 ounces of gold, 970,000 ounces of silver, and 195 tons of molybdenum. Copper, gold, and silver production was significantly stronger than the third quarter as a result of high grades from Pampacancha as the planned stripping program was successfully completed in the third quarter, as well as a larger portion of all mill feed coming from Pampacancha. The strong fourth quarter in Peru resulted in the full-year annual guidance ranges being achieved for all metals, with a production of 99,000 tons of copper and 98,000 ounces of gold in 2024. Peru gold production exceeded the upper end of the guidance range by 6%, primarily as a result of additional gold benches that were mined in Pampacancha ahead of schedule and pulled forward from 2025. The Peru operations continued to benefit from strong and consistent mill throughput, averaging approximately 87,000 tons per day in the fourth quarter and full year of 2024. The mill achieved record copper recoveries of 88% in the fourth quarter, higher than the previous record of 87% achieved in the fourth quarter of 2023. Peru demonstrated strong cost performance and exceeded our expectations in the fourth quarter. As a result, full-year cash costs were $1.18 per pound in 2024, outperforming the low end of our annual cost guidance range. Strong mill performance and focus on cost efficiencies have proudly positioned Constancia as the lowest cost open-pit copper mine in South America. We continue to evaluate opportunities to further increase mill throughput in the coming years with the government regulatory allowance to exceed permitted levels by 10%. This opportunity has the potential to increase production volumes to partially offset grade declines following the depletion of Pampacancha in late 2025. Slide seven highlights the record year we had in Manitoba. Our Snow Lake operations delivered exceptional operating performance and continued to exceed expectations in both production and efficiency in the fourth quarter. We also proudly achieved a significant milestone in December with the production of a total of one million ounces of gold from the Lalor mine, reflecting the success of our strategy to maximize gold production. Record annual gold production of 214,000 ounces was achieved in 2024 through a combination of higher metallurgical recoveries at the New Britannia and Stall mills and the strategic allocation of more gold ore feed to the New Britannia mill. This success reflects the positive impact of ongoing continuous improvement initiatives across the entire business unit. Full-year gold and copper production both exceeded the upper end of the 2024 guidance ranges. Zinc production was in line with guidance, and silver production was at the top end of the guidance range. The Lalor mine achieved strong results, averaging 4,600 tons per day in the fourth quarter, marking the highest quarterly ore production in 2024. Strong performance was driven by positive muck fragmentation, stope availability, and improved mobile equipment availability. The New Britannia mill had another quarter of exceptional performance, with the mill operating consistently above nameplate capacity, achieving an average throughput of above 2,000 tons per day in the fourth quarter. Plant availability remains strong, supported by ongoing low capital projects aimed at further increasing throughput while maintaining targeted gold recoveries of 90%. At the Stall Base metal mill, we produced a similar quantity of ore in the quarter compared to the prior, while annual processing declined by 7% year over year, aligned with our strategy to allocate more Lalor ore feed to New Britannia to maximize gold recoveries. Manitoba's gold cash costs were $607 per ounce in the fourth quarter and $606 per ounce for the full year. These costs remained better than expected as a result of continued operating efficiencies and focus on strong cost control, resulting in full-year Manitoba cash costs significantly below guidance. Similarly, our sustaining cash costs remained stable throughout the year in Manitoba, averaging an impressive $868 per ounce in 2024. Our Snow Lake operations are generating significant cash flows, operating costs remain stable, and we benefit from expanding margins in the current high gold price environment. Slide eight ranks our operations against other large-scale gold mines in Canada. At $868 per ounce in sustaining cash costs, Snow Lake is the lowest-cost gold mine in Canada, achieving margins of roughly 70% at current gold prices. Through our continuous improvement efforts, focus on cost control, efforts to maximize gold production, and benefits from base metal byproduct diversification, we are proud to say that our Snow Lake business was the highest-margin gold operation in Canada in 2024. Moving to our third operating business unit on Slide nine, our British Columbia operations produced 6,000 tons of copper, 4,600 ounces of gold, and 59,000 ounces of silver in the fourth quarter. Production in the quarter was impacted by lower mill throughput due to planned and unplanned maintenance shutdowns. Full-year copper production was below the guidance range, primarily as a result of lower grades in stockpiled ore and lower throughput during the ramp-up of stabilization and optimization efforts throughout the year. Full-year gold production was in line with annual guidance. Since acquiring Copper Mountain in June 2023, we have been focused on advancing operational stabilization plans, including opening up the mine by reactivating the full mining fleet, adding additional haul trucks, adding additional mining phases, optimizing the ore feed to the plant, and implementing plant improvement initiatives that mirror Hudbay Minerals Inc.'s successful processes at Constancia. These stabilization plans have successfully increased the total tons moved and resulted in stronger mill performance, as demonstrated by high mill availability of 92% and copper recoveries of 82% in 2024, compared to 85% and 80% respectively in 2023. The focus in the fourth quarter of 2024 was on mining efficiencies and operator recruitment to effectively utilize the available haul truck fleet. As a result, total material moved is expected to increase in 2025 and as per the mine plan. As I mentioned earlier, mill performance in the fourth quarter was impacted by the ramp-up period following the planned and unplanned maintenance shutdowns. In addition, elevated clay material impacted the secondary crushing circuit. Several initiatives were advanced in the quarter to address these issues. Full-year cash costs in British Columbia were $2.74 per pound and were above the high end of the annual cost guidance range due to lower copper production as mentioned. Progressive operational improvements are expected throughout 2025, including an accelerated stripping program intended to bring higher-grade ore into the mine plan. And in January, we completed feasibility engineering to debottleneck and increase the nominal plant capacity to its permitted capacity of 50,000 tons per day earlier than contemplated in the technical report. We released our 2025 annual guidance with our 2024 results, and our production guidance is summarized on Slide ten. The 2025 consolidated copper production guidance midpoint of 133,000 tons is expected to remain consistent with 2024 levels. This is a result of higher expected production in British Columbia as mill throughput optimization plans are implemented, offset by a lower portion of ore feed from Pampacancha in Peru as it depletes this year. The 2025 consolidated gold production guidance midpoint of 278,000 ounces reflects continued strong gold production in Manitoba, offset by lower gold grades in Peru, as high-grade gold benches were mined ahead of schedule in 2024, as well as a lower portion of ore feed from Pampacancha in 2025. Specifically for Peru, the 2025 copper production guidance midpoint is expected to be 88,500 tons, and gold production is expected to be 54,500 ounces, lower than 2024 levels as less mill ore feed will be coming from Pampacancha. As mentioned earlier, additional high-grade gold benches were mined in late 2024 and pulled forward from 2025. The Pampacancha deposit is now expected to be depleted in the third quarter of 2025, as opposed to October, as the mine plan has smoothed Pampacancha production throughout the year. Total mill ore feed from Pampacancha is expected to be approximately 25% in 2025, lower than the typical one-third in prior years. In Manitoba, we expect to produce 200,000 ounces of gold based on the midpoint of the 2025 guidance range. The impressive operating performance we saw in 2024 is expected to continue into 2025, resulting in our updated 2025 gold production guidance to be 8% higher than the previously announced guidance of 185,000 ounces. Zinc production for 2025 is expected to be 24,000 tonnes, which is lower than 2024 production due to lower grade base metals in the mining sequence at Lalor as we continue to prioritize the gold zones. In British Columbia, 2025 copper production is expected to be approximately 35,000 tons based on the midpoint, which is a 31% increase from the 2024 levels as a result of mill throughput ramp-up and higher grades in the second half of the year. This is a result of several mill initiatives, including the conversion of the third ball mill to a second SAG mill and higher grades from the accelerated stripping schedule. The mill throughput ramp-up reflects the first half of 2025 at similar throughput levels seen in 2024, with a significant increase in the second half of 2025 concurrent with the completion of the second SAG mill project, ramping up towards 50,000 tons per day in 2026. As shown on Slide eleven, consolidated copper cash costs in 2025 are expected to be within $0.80 and $1.00 per pound as we continue to focus on maintaining strong cost control across our operations to drive industry-leading margins. All-in sustaining cash costs are expected to be between $2.60 and $2.65 per pound, reflecting slightly lower copper production, lower byproduct credits, and higher sustaining capital expenditures compared to 2024. In Peru, 2025 cash costs are expected to be between $1.35 to $1.65 per pound as continued strong cost control offsets lower production and byproduct credits compared to 2024. In Manitoba, 2025 gold cash costs are expected to be between $650 and $700 per ounce, remaining at industry-low levels during strong margins at current gold prices. In British Columbia, cash costs are expected to be between $2.45 and $3.45 per pound. This is an increase from 2024 due to higher mining costs related to more material moved as we execute the planned accelerated stripping program and higher milling costs as we implement the mill improvement projects this year, offset by higher copper production. Our capital expenditures guidance is shown on Slide twelve. In 2024, total capital spending was $10 million lower than guidance at $360 million, as lower growth capital and certain sustaining capital deferrals were partially offset by higher sustaining capital in British Columbia. For 2025, total capital expenditures are expected to be $485 million. This increase reflects higher growth capital spending as we reinvest in several high-return growth projects, as well as higher sustaining capital expenditures. Peru's 2025 sustaining capital expenditures are expected to be $170 million, with higher capitalized stripping and required mine equipment purchases, along with some capital deferrals from 2024. Growth capital of $25 million in Peru is related to the installation of the pebble crusher to increase mill throughput starting in 2026 and other mill optimization initiatives. In Manitoba, 2025 sustaining capital expenditures are expected to increase to $60 million, primarily as a result of additional underground capitalized development costs. We also plan to spend $15 million of growth capital in 2025 for the exploration and haulage drifts at the 1901 deposit. A portion of the cost has been funded by a premium flow-through financing that was completed in the fourth quarter. In British Columbia, 2025 sustaining capital is expected to remain consistent with 2024 at $50 million for mine and mill equipment capital. And we expect to spend $85 million on capitalized stripping costs related to the continued accelerated stripping program. Growth capital at Copper Mountain is expected to be $75 million in 2025, including $55 million for the conversion of the third ball mill to a secondary SAG mill to increase throughput rates starting in the second half of 2025 and ramping up to 50,000 tons per day in 2026. At Copper World in Arizona, we anticipate spending a total of $90 million in growth capital in 2025. This includes $25 million of typical annual holding costs and roughly $65 million related to de-risking activities and definitive feasibility studies to advance the project towards a sanction decision in 2026. 2025 exploration expenditures are expected to total $40 million, in line with 2024 exploration spending, as we continue to execute a multiyear extensive geophysics and drilling program in Snow Lake to extend mine life and explore for new discoveries. A portion of the Snow Lake exploration program has been funded by premium critical minerals flow-through financing. Moving to Slide thirteen, Hudbay Minerals Inc. has a proven track record of prudently allocating capital to generate the highest risk-adjusted returns as we execute our growth strategy and advance our world-class asset portfolio. As an example of this success, we completed a post-project review of our capital investment in the New Britannia refurbishment project. We acquired the New Britannia mill in 2015 for $12 million to potentially process high-grade Lalor gold ores and allow us to achieve higher gold recoveries of approximately 90%. The refurbishment project construction had an initial capital cost of $115 million and an estimated IRR of 19% at the time of project sanction in early 2020. The initial investment was funded by a $15 million low-cost gold prepay facility. The project construction was completed on time with no ramp-up, and commissioning was achieved in late 2021. The mill was refurbished with a nameplate design capacity of 1,500 tons per day and has been consistently exceeding performance expectations, reaching record throughput levels of over 2,000 tons per day in 2024. Project payback was achieved after 2.5 years, and in August, we completed the final payment under the gold prepay facility, increasing our exposure to the current high gold price environment. After three years in operations, it is estimated that the IRR for the New Britannia refurbishment project has increased to a remarkable 36% after adjusting for higher production rates, stronger gold prices, and higher capital and operating costs. In 2024, we received a permit to increase the production rate at New Britannia to 2,500 tons per day. With 4 million ounces of gold in the inferred resources, the New Britannia investment has the potential to generate even higher returns that could be further enhanced by regional exploration upside and the current strong gold price environment. We expect to replicate this success through our disciplined capital allocation approach when reinvesting in brownfield growth projects such as our mill throughput improvement projects in British Columbia and Peru. And we expect to generate attractive returns and unlock significant value through our Copper World project, which is shown on Slide fourteen. Copper World is the most advanced greenfield project in our portfolio and offers significant copper exposure and highly attractive project economics. Copper World is a standalone operation requiring state and local permits and is expected to produce 85,000 tons of copper per year over the initial 20-year mine life in the first phase. The project generates an NPV of $1.1 billion and an after-tax IRR of 19% at a copper price of $3.75 per pound. Copper World is one of the highest-grade open-pit copper projects in the Americas, with mineral reserves of 385 million tons at 0.54% copper, as shown on Slide fifteen. Copper World is expected to be the fourth-largest copper producer in the United States, and its cost base compares favorably to current operating mines. Once in production, Copper World is expected to be a meaningful copper producer in the U.S. domestic supply chain. Made-in-America copper cathode anticipated to be produced is expected to be sold entirely to domestic U.S. customers. Turning to Slide sixteen, we have recently obtained all key permits needed for the development and operational phase of Copper World, which was received in early January. With Copper World now fully permitted and with our transformed balance sheet and significantly improved financial flexibility, we are well-positioned to prudently advance Copper World in accordance with our three-pillar plan. Once in production, Copper World is expected to increase our consolidated copper production by more than 50% from current levels. Our focus in 2025 will be on advancing feasibility studies, with completion expected in the first half of 2026. Now that the permits have been received, we have commenced a minority joint venture partner process. We have also expanded our team in the United States to build bench strength and to establish key leadership roles. This includes the recent hiring of a highly qualified project director and a seasoned mining law expert, both of whom are significant assets as we advance Copper World towards a sanctioning decision in 2026. We have several exploration opportunities as part of our long-term growth pipeline, including many high-priority targets noted on Slide seventeen. In 2024, we began the largest exploration program in the company's history in Snow Lake, with the goal of extending known mineralization near the Lalor deposit to further extend mine life, as well as to find a new anchor deposit within trucking distance of the Snow Lake processing infrastructure. To follow on this, in 2025, we will be completing the largest geophysics program in Hudbay Minerals Inc.'s history, with plans to complete 800 kilometers of ground electromagnetic surveys and an extensive airborne geophysics survey. At Lalor Northwest, follow-up drilling in the second half of 2024 confirmed the potential for a new gold-copper discovery located approximately 400 meters from the existing Lalor underground infrastructure. Several new intersections have helped establish the geometry of this new discovery, and we plan to continue to drill Lalor Northwest in 2025. At the regional rail property, which was acquired through the Rockcliff acquisition, the 2024 program yielded new intersections of high-grade copper-gold mineralization. These results will be combined with historical drilling results to update the geological model and assess its economic potential. Recent step-out drilling at the 1901 deposit from the underground exploration drift targeted down-plunge extensions of the ore body. All five holes that were drilled beyond the known extent of the mineralization have intersected visible copper-gold mineralization extensions. Additional drilling at 1901 is expected in 2025 to confirm and potentially extend the ore body geometry and to convert inferred mineral resources in the gold lenses to mineral reserves. One of the recent geophysical targets is a very strong deep anomaly located approximately six kilometers from Lalor. Drilling at the Cook Lake North property is continuing throughout the winter season. We are pleased to have signed our first-ever exploration agreement with the Kitchiwa Pree Nation, reflecting our commitment to meaningful collaboration as we explore for new mineral resources in the Snow Lake and Flin Flon regions. Additionally, in Flin Flon, we continue to advance tailings reprocessing studies to recover critical minerals and precious metals while creating environmental and social benefits for the region. An early economic study on the zinc plant tailings reprocessing opportunity has confirmed the potential for a technically viable reprocessing alternative, so we have further engineering work underway. In Peru, our exploration activities surrounding the Maria Reina and Caballito properties near Constancia continue to focus on permitting and drill preparation. As part of the drill permitting process, environmental impact assessment applications were approved by the government in June 2024 for Maria Reina and in September 2024 for Caballito. We anticipate the drill permitting process to be completed in 2025, at which point we will initiate an extensive 18-month drill program. Concluding on Slide eighteen, Hudbay Minerals Inc. is set up for another highly successful year in 2025. Core to our 2025 objectives is the continued focus on operating safely and sustainably, aligning with our purpose to ensure that the company's activities have a positive impact on our people, communities, and the planet. We believe that copper has highly robust long-term supply and demand fundamentals, as global copper mine supply will be unable to meet growing copper demands. Hudbay Minerals Inc.'s leading copper development and exploration pipeline and low-cost stable operating platform in tier-one jurisdictions offer investors meaningful copper exposure, complementary gold exposure, and continued strong near-term free cash flow generation. This, together with our resilient balance sheet, provides significant upside potential for additional value creation as we prudently advance our many high-return copper growth opportunities. And with that, we are pleased to take your questions.
Operator: Thank you. You will hear a tone acknowledging your request. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then two. Today's first question comes from Orest Wowkodaw with Scotiabank. Please go ahead.
Orest Wowkodaw: Hi. Good morning. I was wondering if we can get some more color on your 2025 production guidance in Peru. It's been meaningfully reduced from the guidance you put out in March of last year. Can you give us some color in terms of what's driving that reduction? I assume it's Pampacancha. But what exactly are you seeing there, and are there any implications for 2026?
Peter Kukielski: Morning, Orest. Thank you for the question. As we mentioned with our last quarter results, we have been experiencing more mining dilution than ore losses than planned in one of the high-grade areas of Pampacancha, and we have since investigated quite a bit further. Our guidance for 2025 includes conservative resource-to-reserve conversion factors tested by very thorough reconciliation work in the 2024 production results. So this is certainly limited, as you suggested, to Pampacancha and specifically in 2025 only. On the gold production side, we accelerated some high-grade benches from 2025 into 2024, which resulted in 2024 gold production exceeding the top end of guidance levels. And then in addition, 2025 copper production is expected to be slightly lower than 2024 since Pampacancha is contributing a lower portion of ore feed. Approximately 25% of the ore feed in 2025 will be from Pampacancha compared to approximately one-third in 2024. So that's really what the primary factors are. I would also add, even though you have not asked it, that I have kind of watched the market's reaction today to our results. And frankly, I am pretty surprised because 2024 was an outstanding year, and 2025 will be another strong year of delivery with stable production, stable costs, and outstanding margins. So perhaps it's just a bad day in the market. But I think it's been driven by what we have described in Peru specifically at Pampacancha. Andre, would you add anything?
Andre Lauzon: So what I would say to just to build on what you said is when we went into Q4, as we started recognizing some of the challenges in the model, we signaled being towards the low end of guidance last year, and we delivered that with the updated model. We have since revised the models to build and forecast into 2025. And so now we are anticipating being at the midpoint. It's not like last year. So this is a really prudent forecast going forward, and there may be a little upside on that as well.
Peter Kukielski: Yeah. The I d I d.
Andre Lauzon: Sorry.
Peter Kukielski: Carry on, please.
Orest Wowkodaw: No. I was gonna say just thanks for the color, but I am curious about what the blended average grade for copper may be now at Constancia in 2025, given the revisions.
Andre Lauzon: The blended average grade in 2025 is above 0.3, about 0.31 to 0.33 in that range.
Orest Wowkodaw: Thanks. And Peter, I do share your feelings in terms of the reaction on the share price today. But clearly, the guidance cut for 2025 is negative.
Andre Lauzon: No. Thanks for that, Orest. I would also stress that Constancia is a 90,000-ton per year copper mine with extremely attractive costs, and it carries on at this level at least through the end of the decade. And after that, there's massive upside offered by our exploration satellites within trucking distance of Constancia. So we remain very excited about the asset. Yeah. If we are to build, like, for the future, the forecast for next year and incorporated in the guidance, we just discussed were some subtleties in the model for Pampacancha. I would say that the cost structure for Peru is year on year, we have been able to hold it flat almost the same. And with no increases, and that strong cost performance and production performance will carry forward post Pampacancha into the future.
Orest Wowkodaw: Thanks for the color.
Operator: Thank you. And our next question comes from Lawson Winder with Bank of America Securities. Please go ahead.
Lawson Winder: Yeah. Thank you very much, operator. Morning, Peter and team. I wanted to ask about the Copper World minority interest process and get an idea from you what kind of interest you are seeing. So is it corporate, strategics more? Is it potentially financial investors? Sovereign wealth fund, or is it more of the traditional type of partners that we have seen with off-take agreements? And then in terms of early indication, what do the numbers look like? And then finally, so you started the process. What is the expected timing on completion of the sale process?
Peter Kukielski: So, you know, the answer to a very simple question is all of the above. We have had very, very strong interest from, as you put it, the traditional investors, so trading houses and the like. But, you know, we visited with several Middle Eastern potential partners later last year. We had very, very strong interest from the Middle East. We have also had very, very strong interest from strategics. And on top of that, we have had some interest also from some financial advisers. So I would say the interest has been extremely strong. We expect it to be a very competitive process. And to your question with respect to timeline, we think it will take on the order of four to six months to complete.
Lawson Winder: Okay. Great. And then the thing that would be helpful to get a bit of an idea for would be sort of an ex-growth capex run rate. So when you think about the four key assets or operating regions of the business, if we were to just put a capex number in our model each year, like an average for the next ten years, and of course, at current pricing at 2025 pricing level, what's kind of a good run rate?
Eugene Lei: Good morning, Lawson. So our sustaining capital guidance for this year is approximately $365 million. It's a little higher than last year. That includes a lot of stripping in BC. The sustaining capital in Manitoba is in that $50 million to $60 million range per annum. Peru ranges between about $130 to $170 million per year, depending on the tailings dam raise, and then BC is in that kind of $50 million range. So, you know, we add all those numbers up, that's kind of in the $250 to $300 million range on an annual basis.
Lawson Winder: Okay. That's great. Thank you both for those responses. Very helpful.
Operator: Thank you. And our next question today comes from Dalton Baretto with Canaccord Genuity. Please go ahead.
Dalton Baretto: Peter, I want to start by asking a couple of longer-term questions, if you will. You mentioned that Constancia is pretty robust until the end of the decade. Based on the mine plan, I think the copper grades do drop off significantly after that. If you start drilling the satellites this year, do you think Caballito maybe would be ready for production by then?
Peter Kukielski: Morning, Dalton. So what I would say is, first of all, as I said during the presentation, we combined the permitting processes for Caballito and Maria Reina. So we will obtain permitting for both of them at the same time. And then we will decide exactly what the process or the sequence of our drilling will be. It's going to be an 18-month drilling program. So once we have completed that drilling program, we will have a better idea of exactly what the high-grade satellites or whatever we are talking about are going to be targeted. I imagine that, you know, we will have a roughly similar timeline associated with permitting for those operations. So it's unlikely that we would be in production before the early 2030s. But I would say that, you know, with the type of production and the levels of production that we have moving forward now, as well as potential expansion of mill infrastructure to offset declining grades, you know, we will have a very clear line of sight to what those satellites will bring if there is a gap of a year or two between what you are talking about. So it's very difficult for me to say today with any sense of certainty whether we would bring a Caballito or a Maria Reina satellite into production by 2030. But I would say around about then in the next couple of years or something like that, but there will always be a very clear line of sight to it, which I think would address any market concerns. But not only that, by then, we will have Copper World in production as well, and we will already have added another 50% to our production portfolio.
Dalton Baretto: Thanks for that, Peter. And then just maybe switching to...
Andre Lauzon: Sorry. So I just wanted to add something both in there. So with, Andre, so one of the things that we are going through this year is we are renewing some of our permits in Peru. We are looking for some expansion in anticipation of the Caballito and Maria Reina deposits. And although, like Peter said, the timeline is going to be tight around 2030, with successful exploration there, we will be likely permitted in 2028 or so to be able to increase throughput to a much higher level that we can accelerate Constancia and bridge that gap. So we have been working on plans to mitigate those lower-grade future years. And if we get Maria Reina and Caballito sooner, even better. So we will be permitted to go at a high level of production with that super high grade, and then if it does slide a little bit, we have the opportunity to accelerate Constancia and produce more metal.
Dalton Baretto: Got it. Thanks for that, Andre. Then maybe switching gears to Manitoba. The Canadian dollar has been hammered. Just wondering how much exposure the Manitoba business has to the Canadian dollar and what you are doing to sort of lock in these rates?
Eugene Lei: Good morning, Dalton. We budgeted conservatively for $1.35 CAD/USD. Obviously, today's spot price is slightly higher than that. So a 10% change in the Canadian-US exchange rate is about a $60 million impact on cash flow and EBITDA. And so that's a pretty significant increase in cash flows, and that affects both the BC business and the Manitoba business.
Dalton Baretto: Got it. Thanks, Eugene. And if I can just squeeze one last one in. Your balance sheet is in very good shape right now. You are still more than a year away from sanctioning Copper World. Just given the movement in the shares today and your valuation, any thought on maybe buying back some shares?
Eugene Lei: We are in an enviable position with our balance sheet. Having lowered our leverage full turn over the course of 2024, we have some bonds that are more than a year away from being due. We are always looking at opportunities to allocate capital to the highest risk-adjusted returns. And you will see in our capital forecast this year that we have some investments in our business that we think are high-return businesses. The past practices that we have embarked on, including New Britannia, were over 35% return projects. And, you know, as we look at dividends and share buybacks, we will always be evaluating against those internal projects. But as Peter mentioned, we are a bit surprised with the overreaction today in the share price. So it's always something we consider actively as we allocate capital.
Dalton Baretto: Thanks very much, guys.
Operator: Thank you. And our next question comes from Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Good morning, Peter, Eugene, and Andre. So a question for Andre. On the dilution in ore losses, could you give some color on what you think the source of the issue there is? I'm just wondering if it was a geostatistical model, or is it something that's happening from the mining side of the operation?
Andre Lauzon: Yeah. Thanks for the question. So as we are going through, actually, with all of our operations, we are continually updating our models. It's something that we do every quarter, and in a lot of cases monthly, looking at reconciliation factors. In this case here, it does appear to be more geostatistical because it didn't affect the gold. Like, we had positive reconciliation on the gold, and there was just slightly more variability on the copper. But those were corrected, and we projected in the fourth quarter, and we updated with our models in the fourth quarter. So those are all the best estimates that we have going forward into 2025, and so we are very confident in achieving the midpoint or better.
Anita Soni: And what kind of, I mean, what did you use for your geostatistical ID?
Andre Lauzon: So all of our models are ordinary kriging.
Anita Soni: Just ordinary kriging? Okay. And then how much of the, so what was the cutting factor that you used for 2025, and how many tons did that impact in 2025?
Andre Lauzon: So say again? Sorry. Can you repeat that? I didn't catch the question.
Anita Soni: You reduced the grade in 2025. So I'm just trying to get an understanding of how much in terms of tonnage was impacted by the reduction in grade, and what did you, like, how much did you reduce it by? Like, what was the factor? Like, 10% or 15%?
Andre Lauzon: So we could probably take it offline. It's pretty detailed, but what it says is it's very focused on Pampacancha. Pampacancha is only about a third of the production. And what we have right now is a resource model that has a lot of information with blast holes and new information that makes it the best model going forward. So it's not a cutting. We have a lot more information now.
Anita Soni: Okay. And then, so, like, my last question would be how much of the Pampacancha ore would have been in 2026 then?
Peter Kukielski: Zero. Pampacancha is done in 2026. Yeah. We are done this year.
Anita Soni: Okay. Alright. That's it for my question. Thank you very much.
Operator: Thank you. And our next question comes from Farooq Hamed with Raymond James. Please go ahead.
Farooq Hamed: Thank you, operator, and good morning, everyone. So just a couple of questions, you know, from the presentation here. The first one just on Copper World. Peter, in your slide there, you talked about a made-in-America strategy producing copper cathode. I just wanted to revisit that because I know in the past, there's been some discussion about whether you would actually end up going all the way and making the cathode or whether you just produce a concentrate. And I think that there was a capex trade-off related to that decision. So, have you now committed that you're gonna kinda go down the path of producing cathode in-country, or is that still something that's up for debate?
Peter Kukielski: Morning, Farooq. Yeah. So to a very easy answer to your question. Yeah. We are committed to it. It certainly is a key component of the prefeasibility study, and it'll be a key component of the feasibility study going forward. We think that the opportunity to produce made-in-the-United States copper cathode is very, very attractive. Especially given some of the geopolitical disconnects that we're seeing in the environment now, and I think it's very, very supportive of building our business in the United States. I mean, of course, we'll take a hard look at the technologies that we're gonna use, but we still plan to continue to use the Albion process. But remember that it's a project that's funded out of cash flow in approximately year four while we're operating.
Farooq Hamed: Okay. Thanks for that. And maybe just earlier in the conference call, you made a reference to, at Manitoba, running above permitted capacity, and there was an allowance from the government. Can you provide some more detail on the allowance from the government and how long you expect that to persist?
Peter Kukielski: So, Farooq, I think that you're mixing up Peru and Manitoba. So it's Peru where we have an allowance from the government to exceed production, the permitted capacity by 10%. The answer on the Manitoba side is we received the permit to increase production at New Britannia to 2,500 tons per day. And, you know, as we mentioned in the materials, we have been producing at over 2,000 tons per day.
Farooq Hamed: Okay. Thanks for that clarification. Yeah. I think I misheard you on that one. And then just the last one there, just a question. Related to Dalton's question on potential buyback. You know, part of the reason why your balance sheet has strengthened is related to the equity issue that you did earlier in 2024. So I'm just wondering, at this point, you know, and I imagine that part of strengthening the balance sheet was to get ready for Copper World. So at this point, is it safe to assume that, you know, kind of a share buyback would kind of be off the table given part of the raise was to get ready for Copper World coming potentially in 2026 or just starting the construction in 2026?
Peter Kukielski: I'll let Eugene give you a broader answer to it. But in essence, it is unlikely that we would do a share buyback in the wake of issuing equity.
Eugene Lei: It's part of a broader strategy point that the equity issue was to prefund the stabilization optimization work in British Columbia, and that's underway. That's going to be spent this year in 2025, and also put the balance sheet in a position to potentially sanction the Copper World project in the first half of 2026, and I think we're really well on track on that. We, you know, we always look at opportunities, both internally and externally, to generate returns for our shareholders, and we will continue to monitor the situation. But as Peter mentioned, we don't take this lightly in a kind of a one-quarter decision. This is we're building a resilient balance sheet to be able to reinvest and generate superior returns over a sustainable time for our shareholders, and you know, we're on a really good pathway to do that. I think we have the lowest leverage among our peers. We've reduced debt permanently in our capital structure, and we have a lot of financial flexibility going forward in terms of the refi of the bonds and the sanction of Copper World. In the context of all the capital allocation opportunities that we have in terms of with the goal of ultimately being stable, big dividend payers.
Farooq Hamed: Okay. Thanks, guys.
Operator: Thank you. And our next question comes from Pierre Vaillancourt with Haywood Securities. Please go ahead.
Pierre Vaillancourt: Thanks. I was wondering if you could elaborate on the tax expense this quarter and what implications are for future quarters?
Eugene Lei: Hi, Pierre. Yeah. There was an elevated tax expense in 2024 due to the differences in mining tax versus income tax and, you know, particularly given the strong production in Peru and the higher gold price, as well as that strong production in Manitoba. So it was elevated in 2024. It will likely, you know, remain elevated in 2025 as these prices prevail but normalizes as Pampacancha is exhausted in Peru and as we've exhausted our pools in Peru as of a year ago.
Pierre Vaillancourt: Okay. Thanks. Also, if I may, wondering if you can give us a sense, you know, with Pampacancha finishing this year, what the longer-term profile for Constancia in general is in the context of the mill expansion. So it's gonna, I mean, it's down relative to what guidance was previously, and it'll probably go down again in 2026. How does that, where do you choose steady state in the context of a planned mill expansion, you know, until, of course, Maria Reina comes on?
Andre Lauzon: Hi. It's Andre. That's a pretty layered question. We're gonna get a lot more clarity on the future year's guidance coming up in March with our reserve and resource declaration. So we'll be able to give you a lot more color on that coming up. But there are a sequence of production improvements that we're doing. Like, right now, we're doing pebble rejection successfully right now. We're seeing some improvements in grade and throughput. We're planning to implement the pebble crushers towards the end of this year. We might see some production this year, but it's probably gonna the benefits will go into 2026. And depending on the combination of those, we may expand that as well because we know we're trying only to install one pebble crusher. But we have the opportunity and the permits will be in place to put up to four. And so there's all of those baked in. And then, like I mentioned earlier about mod four, permit update, that's gonna be a significant production increase that could happen after 2028. And so we'll signal some of that, like you say, all of that in the three-year guidance up in March.
Pierre Vaillancourt: But is that gonna be, you know, that total rejection? I mean, is that significant enough to matter? You think, like...
Andre Lauzon: It does. So one of the challenges is the hardness. And so just, and it's not every day that, you know, when we have good throughput as we're seeing, but some days, and our permit is on an annual basis, and so we're seeing days up as high as 100,000 tons per day. And the 10% improvement that we're talking about is about a 94,000-ton per day over a permitted level. So we're seeing, you know, some significant improvements as we're going through this, and we're in what we have to be relatively hard ore. So we're quite pleased with the work that the team's doing. They're continually making improvements in the mill and improving recovery. And so we're gonna bake some of those into the guidance, and as we get further improvements, it will get better than what you see over time.
Pierre Vaillancourt: But is it safe to assume a grade at Constancia will be maintained, or is there any that she...
Andre Lauzon: So the grade doesn't have improved with pebble rejection. So generally, the pebbles are hard and lower grade, and we do see a slight improvement in grade as that goes through as well too, but it's too early to quantify.
Pierre Vaillancourt: Okay. Thanks, Andre. Eugene.
Operator: Thank you. And our next question comes from Stefan Ioannou with Cormark Securities. Please go ahead.
Stefan Ioannou: Yeah. Thanks very much. This is Chris. If you could just maybe comment on the strategy of the recent Arizona Sonora investment, how that kind of fits into the plan going forward in the portfolio.
Peter Kukielski: Sure. Hi, Stefan. How are you? Thanks very much for the question. I think that we manage a portfolio of junior mining company investments, and we've done that for several years. And we look for investment opportunities that fit our strategic criteria. So, you know, we all know that copper is scarce. And we're always looking for ways to prudently increase our copper exposure. Now Arizona Sonora has a copper project in Arizona, which is, of course, an important region for us with our Copper World project located in Southern Arizona. So the strategic investment in Arizona Sonora increases our copper exposure in what we consider to be a top mining jurisdiction. It provides them with some funding to de-risk their project. And it supports further copper mining in Arizona. And, you know, we as shareholders, together with Rio Tinto, we like the team. We like their asset. And so it's just something that we've tucked into the portfolio.
Stefan Ioannou: Okay. Great. No. That's helpful. Thanks very much.
Operator: Thank you. Showing no further questions at this time. So I'd like to conclude the question and answer session and turn the conference back over to Candace Brule for any closing remarks.
Candace Brule: Thank you, operator, and thank you everyone for joining us today. If you have any further questions, please feel free to reach out to our Investor Relations team. Thank you, and have a great day.
Operator: Thank you. This concludes today's conference call. We thank you all for attending. You may now disconnect your lines and have a wonderful day.